Monica Webb: Welcome to Tucows' question-and-answer dialogue for Q4 2025. David Woroch, President and Chief Executive Officer of Tucows and Tucows Domains, will be responding to your questions. For your convenience, this audio file is also available as a transcript in the Investors section of our website, along with our Q4 2025 financial results and updated reports. I would also like to remind investors that if you would like to receive our quarterly results and Q&A via e-mail, please make the request to ir@tucows.com. Please note that the following discussion may include forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ materially. These risk factors are described in detail in the company's documents filed with the SEC, specifically the most recent reports on the Forms 10-Q and 10-K. The company urges you to read its security filings for a full description of the risk factors applicable to its business. Today's commentary includes responses to questions submitted to us following the prerecorded management remarks regarding the quarter and outlook for the company. We are grouping similar questions into categories that we feel are addressing common queries. If your questions reach a certain threshold or volume, we may ask to schedule a call instead to ensure we can address the full scope of your questions. And if you feel that the recorded questions and/or any direct e-mail you may receive do not address the full body of your questions, please let us know. Go ahead, Dave.
David Woroch: Thank you, Monica, and welcome to our Q&A for our fourth quarter financial results. This quarter, we received 3 questions from investors, which we'll address here. We recognize that many of you are taking a wait-and-see approach regarding the Ting process, and we understand that perspective. The first question is, is there any update you can provide on the sale of Ting assets? Has the process been delayed as the price of such assets begins to fall with the broad market sell-off? The Ting process has not been delayed. It is ongoing, and we do not believe that external volatility has a direct impact on the time line. We continue to work closely with our financial advisers to determine the optimal path forward. Based on our experience with acquisitions and domains, transactions of this nature require a thorough diligence and coordination among multiple stakeholders, and time lines are driven by the specifics of the asset and the availability of information. We remain deeply engaged in the process and focused on achieving the best outcome. The next question is, why is the adjusted EBITDA margin on Wavelo expected to be down year-over-year as per 2026 guidance? As noted in the management remarks with our Q4 release, there are Ting Fiber and mobile customers on the Wavelo platform. Based on different potential outcomes for the Ting process, this could result in a reduction of fees for Wavelo. There is a range here, and we are conservatively forecasting that possibility in Wavelo's adjusted EBITDA guidance. Additionally, we layered in some investments midway through 2025 that are now fully annualized costs in 2026, and we're continuing to invest to grow Wavelo's top line while still remaining below the cost structure of our competitors. And lastly, we had a question on the announced stock buyback program stating, "I know you always renew this. What is the company's access to liquidity? I also assume that the window is closed until the conclusion of the fiber divestiture." As a reminder to investors, the annual buyback authorization provides flexibility, not a commitment to buy back stock, and any deployment will be evaluated against return thresholds and liquidity considerations. Liquidity and balance sheet strength remain priorities. As discussed in recent quarters, continued deleveraging of the Tucows' syndicated debt and completion of the Ting divestiture process are central to further strengthening our liquidity profile. The syndicated debt paydown is ongoing, and each dollar repaid increases available borrowing capacity up to the committed limit. A successful Ting divestiture would further enhance liquidity by improving our consolidated free cash flow and adjusted EBITDA profile, supporting greater borrowing capacity and overall financial flexibility. Capital allocation remains conservative and deliberate. We are developing a formal framework to guide the appropriate balance between continued deleveraging, reinvestment in the business, potential acquisition opportunities and share repurchases. Currently, our liquidity, excluding Ting, consists of approximately $20.9 million of unrestricted cash. Liquidity remains sound, and our immediate focus is consistent free cash flow generation and further balance sheet strengthening. Thank you for listening to our Q&A. And a reminder that if you feel that the recorded answers or any direct e-mail you receive do not address your question, please follow up with us at ir@tucows.com.